Operator: Good afternoon, everyone and welcome to the Cintas Quarterly Earnings Results Conference Call. Today's presentation is being recorded. At this time, I would like to turn the call over to Mr. Bill Gale, Senior Vice President of Finance and Chief Financial Officer.
William C. Gale: Thank you for joining us this evening as we report our first quarter results for fiscal 2013. With me is Mike Hansen, Cintas' Vice President and Treasurer. After some commentary on the results, we will be happy to answer questions. The Private Securities Litigation Reform Act of 1995 provides a safe harbor from civil litigation for forward-looking statements. This conference call contains forward-looking statements that reflect the company's current views as to future events and financial performance. These forward-looking statements are subject to risks and uncertainties which could cause actual results to differ materially from those we may discuss. I refer you to the discussion on these points contained in our most recent filings with the SEC. We are pleased to report first quarter revenue of $1,051,000,000, which represents growth of 3.4% from last year's first quarter. First quarter net income increased by 11.8% to $77 million and earnings per diluted share were $0.60, a 15.4% increase over last year. Our operating margin for the first quarter improved to 13.2% from last year's first quarter operating margin of 12.6%. Energy-related costs were 40 basis points lower in last year's first quarter. However, this positive impact from energy was more than offset by the $8.3 million negative impact of lower recycled paper prices this year. Keep in mind that in addition to negatively impacting revenue, lower recycled paper prices directly impact operating income as well. Aside from these 2 items, the improvement in operating margin was mainly due to continued efforts to manage our cost structure. When we announced our fiscal 2013 guidance in July, we commented that the absence of momentum in the U.S. economy, as well as numerous sub-2% GDP forecasts for the remainder of 2012 and 2013 caused us to view fiscal 2013 with caution. Our assessment of the economic climate has not changed since then. The disappointing employment picture has continued and various reported economic data during the past 2 months have not been encouraging. However, despite this negative climate, we continue to be pleased with the performance of our businesses, and as a result, we reiterate our fiscal 2013 revenue expectations to be in the range of $4.25 billion to $4.35 billion. We are updating our fiscal 2013 earnings per diluted share guidance for the impact of our first quarter share buyback. While the 1.8 million share buyback had no impact on the first quarter results, it will benefit the remainder of the year by $0.03. As a result, we now expect earnings per diluted share to be in the range of $2.50 to $2.58. Let me make a few comments about this guidance. The guidance assumes no further deterioration in the U.S. economy. Mike generally comments on the workdays by quarter. The number of workdays does affect revenue and operating income levels. Keep in mind that our second quarter workdays are 65, 1 less than the first quarter, but the same as last year's second quarter. The third quarter however, has only 64 workdays, 2 less than this first quarter and 1 less than last year's third quarter. This third quarter workday impact, coupled with the uncertainty surrounding a fiscal cliff impact, may result in a difficult year-over-year comparison for the third quarter. While the first quarter recycled paper prices were significantly lower than last year, those prices were generally in line with our expectations. Our expectations for the remainder of the year have not changed since July, roughly $170 per ton in the second quarter, followed by a $10 increase in the third and fourth quarters. And finally as I mentioned, the guidance incorporates the share buyback from our first quarter but does not contemplate any additional buybacks. Now I would like to turn the call over to Mike Hansen for more details on the first quarter.
J. Michael Hansen: Thank you, Bill. As Bill mentioned, total revenue increased 3.4% from the first quarter of last year, with total company organic growth being 3.2%. Total company gross margin for the first quarter was 42.4%, which is down from last year's first quarter gross margin of 43.2% due to lower recycled paper prices and higher material cost. I will discuss these items in more detail by segment. Before doing so, let me remind you again that there were 66 workdays in our first quarter, which is the same as last year. Looking to the remainder of fiscal 2013, our workdays will be as follows: 65 in the second quarter, 64 in the third quarter and 66 in the fourth quarter. The workdays in the second and fourth quarters are the same as last year. The third quarter has 1 less workday, as Bill mentioned, than last fiscal year, where there were 65 workdays in the third quarter of fiscal 2012. We have 4 reportable operating segments: Rental Uniforms and Ancillary Products; Uniform Direct Sales; First Aid, Safety and Fire Protection Services; and Document Management Services. Uniform Direct Sales, First Aid Safety and Fire Protection Services and Document Management Services are combined and presented as Other services on the face of the income statement. The Rental Uniforms and Ancillary Products operating segment consists of the rental and servicing of uniforms, masks, towels and other related items. The segment also includes restroom supplies and other facility products and services. Rental Uniforms and Ancillary Products revenue accounted for 72% of company revenue in the first quarter. First quarter Rental revenue was $754.8 million, which is up 4.9% compared to last year's first quarter. Organic growth was also 4.9%. We are pleased with our revenue performance for the quarter despite the sluggish economic environment. Our sales reps continued to perform at relatively high productivity levels and our lost business improved from last year's first quarter. During our July earnings release call to report fourth quarter results, we indicated that our net adds stops trend worsened in that fourth quarter. That trend did not continue to worsen through the first quarter. Historically, we have experienced a seasonal pickup in net adds stops from the fourth quarter to the first quarter and we did, in fact, see that normal pickup during the third quarter. Our Rentals segment gross margin was 43.3% for the first quarter, a 60-basis-point decrease from last year's first quarter gross margin of 43.9%. Energy-related costs were down 50 basis points compared to last year's first quarter. This benefit though, was primarily offset by an increase in material costs due to the high level of new business from the past several quarters and the expected greater cotton impact. High levels of new business require incremental injection of new inventory. The first quarter gross margin of 43.3% was consistent with the fourth quarter of last year. Our Uniform Direct Sales operating segment includes the direct sale of uniforms, branded promotional products and other related products to national and regional customers. Uniforms and other related products are also sold to local customers, including products sold to rental customers through our direct sale catalog. Uniform Direct Sales revenue accounted for 10% of company revenue in the first quarter. First quarter revenue of $100.3 million represents a decrease of 1.4% compared to last year's first quarter. We have seen some softening in our Rental catalog business which is consistent with the general cautiousness of our customers, but this revenue level was consistent with our internal plan. We are currently gearing up for several large rollouts scheduled for the second half of the fiscal year and expect this operating segment to have a good year. Uniform Direct Sales gross margin was 29.4% for the first quarter, which is up 80 basis points from last year's first quarter gross margin of 28.6%. This segment's gross margin can move from quarter-to-quarter due to changes in mix of product and timing of program rollouts. Our First Aid, Safety and Fire Protection Services operating segment includes revenue from the sale and servicing of first aid products, safety products and training and fire protection products. First Aid, Safety and Fire Protection revenue accounted for 10% of company revenue in the first quarter. Revenue was $110.8 million, which is a record quarterly revenue level for this operating segment. It was an increase of 6.8% versus last year's first quarter revenue, with organic growth being 6.6%. We're pleased with the performance of both the First Aid and Safety business and the Fire Protection business. This segment's gross margin was 43.1% in the first quarter, which is about the same as last year's first quarter of 43.2%. Improvements in warehouse capacity utilization and lower energy related costs were offset by expanded route capacity due to this operating segment's growth over the past year. The first quarter gross margin of 43.1% was an improvement over the 42.4% in last year's fourth quarter. Our Document Management Services operating segment includes document destruction, storage and imaging services and it accounted for 8% of first quarter total company revenue. Document management revenue decreased 7.5% compared to last year's first quarter. Revenue decreased organically by 8.3% compared to last year. Year-over-year Document Management results continue to be negatively affected by lower recycled paper prices and difficult operating conditions in Europe, including a weaker euro. The average recycled paper price during the first quarter was roughly $170 per ton, which was an improvement from last year's fourth quarter average of roughly $150 per ton. However, the first quarter average of $170 per ton was a significant drop from last year's first quarter average of $275 per ton. This lower year-over-year price negatively impacted revenue for the first quarter by $8.3 million and this impact also directly affects the gross margin and operating margin of the business. Europe continues to be a challenging operating environment. Revenue growth has been difficult and the weaker euro relative to last year's first quarter level negatively impacted the results. Switching to selling and administrative expenses, SG&A was 29.2% as a percentage of revenue in the first quarter. This is an improvement from last year's first quarter of 30.5%. This 130-basis-point improvement from last year is due largely to improved worker's comp claims experienced and lower amortization of deferred charges related to prior year acquisitions. First quarter selling and administrative expenses of 29.2% of revenue were higher than the 28.8% in last year's fourth quarter, in part due to normal first quarter expenses as we began our fiscal year. Our effective tax rate was 37.5% for the quarter compared to 38.5% last year. The effective tax rate can fluctuate from quarter-to-quarter based on tax reserve builds and releases relating to specific discrete items. For the full fiscal 2013 year, we expect our effective tax rate to be 37.3%, which is slightly higher than last year's 36.8%. Last year's rate was impacted favorably by the resolution of federal audits. Turning now to the balance sheet, our cash and marketable securities were $330 million at August 31, down $10 million from the $340 million in cash at May 31, primarily due to the share buyback of $71 million during the first quarter, offset by cash generated from operations. Included in the $330 million at August 31 was $49 million of cash located outside of the U.S. Accounts receivable increased by $8 million since May 31. DSOs on accounts receivable were 40, which is the same as at May 31. New goods inventory at August 31 was $242 million, down $9 million from May 31. Inventory continued to normalize during the quarter from higher post-SAP conversion levels. We're now seeing some efficiency gains from SAP. We do expect an increase in the remainder of the year due to the large rollouts in Uniform Direct Sales mentioned earlier. Accrued liabilities decreased to $43 million compared to May 31, primarily due to lower accrued bond interest and accrued profit sharing. Long-term debt at August 31 was $1.3 billion. We had $225 million of 6%, 10-year debt mature on June 1 and we refinanced that with a new issue of $250 million, 10-year debt on June 5, with a coupon of 3.25%. As of August 31, our total debt to EBITDA remains slightly below 2x. Moving on to cash flow, cash provided by operating activities in the first quarter was $95 million, which is up from last year's first quarter amount of $57 million. In addition to higher net income, the decrease in inventory during this year's first quarter and an increase in accounts payable added to the improvement over last year. CapEx for the first quarter was $47.4 million. Our CapEx by operating segment was as follows: $32.1 million in Rental; $2.4 million in Uniform Direct Sales; $3.9 million in First Aid, Safety and Fire Protection; and $9 million in Document Management. We expect CapEx for fiscal 2013 to be in the range of $190 million to $210 million. That concludes our prepared remarks and we will now take any of your questions.
Operator: [Operator Instructions] Our first question today comes from Sara Gubins with Bank of America.
Sara Gubins - BofA Merrill Lynch, Research Division: In your prepared remarks, you mentioned that add/stops, that the trend had gotten better. Last quarter, you had mentioned that they both worsened but also turned negative. Could you talk about what you saw in the first quarter? Was it still negative or did it turn back positive?
J. Michael Hansen: We generally see, Sarah, a positive movement in the first quarter from the fourth quarter of seasonal impact and it did, in fact, turn positive.
Sara Gubins - BofA Merrill Lynch, Research Division: And then I think you had talked about expectations of SG&A being flat as a percent of revenue for the full year. Is that still what you're expecting?
J. Michael Hansen: I think we would expect a slight improvement in SG&A for the year, Sara.
William C. Gale: [indiscernible] that was consistent with what we said before.
Sara Gubins - BofA Merrill Lynch, Research Division: That it should be down year-over-year as a percent of revenue?
William C. Gale: Correct.
Operator: We'll go next to Nate Brochmann with William Blair & Company.
Nathan Brochmann - William Blair & Company L.L.C., Research Division: It would in fact, a little bit, I mean, obviously, you guys stressed with the economy, it's still pretty weak and the unemployment rate certainly hasn't gotten better and the jobless claims kind of see-saw from week-to-week. But I mean you guys are still doing a really great job in terms of winning new business. Could you talk a little bit in terms of one, what you're doing there? And two, just the general kind of feedback from your customers as you're going out and winning that new business in terms of why they're investing now in the face of an uncertain economy?
William C. Gale: Nate, I think the reason that the new business efforts continue to show decent results is a combination of a couple of things. First off, it's the value of the program itself. We've talked a lot about that. The fact that you can get 5 changes each week of uniforms, no investment by the company or the employee in the uniforms and get them all taken care of for a relatively modest price is a phenomenal value. And I think that more and more companies continue to see that and that's why our business results, new business results, primarily the majority of it is the no programmer segment. I think the second reason is some of the product offerings that we have. We've talked a lot about our relationship with Carhartt. We continue to see very nice results in the FRC garment, the flame-resistant garment, especially in the energy sector, which is a growing sector in the U.S. economy. And then I'd say that next thing is in the Rental business, our Facility Services business, which is over 1/2 -- or which is about 1/2 of that total Rental segment. We continue to have very nice offerings for resolving some of the problems that companies face in such things as the floor care solutions, which includes the tile and carpet cleaning, the hygiene solutions, the restroom supplies and then the addition of the chemical cleaning systems that we have out there I think have all helped on that side of the business. So with all that said, I think our new business results continue to be good. Lost business continues to show some modest improvement year-over-year. We're just not getting the adds yet from existing customers. Maybe when the economy turns around after there's some certainty, we'll begin to really see that and see our growth accelerate.
Nathan Brochmann - William Blair & Company L.L.C., Research Division: So it kind of sounds like, at least in terms of what you've been doing on the new business and the penetration with some of the newer service offerings, it sounds like there's still pretty decent runway to go on that, then.
William C. Gale: Yes, I think there certainly is and we are continuing to invest in our sales force. We believe we've got some compelling product offerings for customers and we continue to feel very bullish about it. Just a pickup in the economy will just really accelerate some of that growth rate and improve profitability, certainly.
Operator: We'll go next to Shlomo Rosenbaum with Stifel, Nicolaus.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: I want to piggy back to the last question. You guys are certainly growing very respectively in the Rentals business way above what the overall GDP is growing. Is there growth coming on the Rental side more? Is it coming more from the Ancillary businesses? Can you just give us a little bit more detail on that?
William C. Gale: Good question, Shlomo. Mike and I looked a lot at that in preparation for this call and it's really comparable growth, both in Uniforms and in the Facility Services side. So while it may be a little bit of surprising to people, the fact that our new business efforts are successful in both sides of that Rental business, I think it's encouraging and I think what it tells us is that it's still a good value, as I was just mentioning to Nate, for a company, for both the Uniform as well as the Facility Services side. So I'm encouraged by that.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: And then in terms of the growth, you said it's primarily no new programmers. Is there a trajectory there that more and more of your businesses, new programmers versus takeaways from competitors or is there any change in that over the last year or so?
William C. Gale: The last year or so, it's been about almost 2/3 of our new business has been no programmers. And that was -- if you went back prerecession, that was what we were experiencing pretty much on an ongoing basis. Then during the recession, we saw less of that and more competitive wins. I think our salespeople continue to find that given the fact that many of our -- that all of this business is contractual business, it's difficult to take it away from a competitor until it gets to the end of the contract and I think that we continue to see a lot of focus on the no programmers side because that's much easier to get than waiting for a contract to expire.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: That makes sense. And then what are you seeing on the competitive side? Are you seeing in deals where you are in competition, is it rational? Are you seeing competitors feeling that they have to hold the line on price more? We hadn't seen more of that going through the last of the year, last year.
William C. Gale: Yes. Unfortunately, I think what we're seeing right now is with the slowdown in the economy over the last several months, I'd say competitors have returned to a little bit more aggressive pricing. Hopefully, that will be a short-term situation. We don't think that's the good way to go. That's why we continue to focus on profitable business. But I would say that's all dependent on how the economy -- when it picks up.
Operator: We'll go next to Thomas Allen with Morgan Stanley.
Thomas Allen - Morgan Stanley, Research Division: Can you give us more color on how the different segments of the Document Management business did? So the shredding, recycled paper sales volumes, storage and then also imaging?
J. Michael Hansen: Thomas, we've not necessarily gotten into that level of detail but I can tell you, I mentioned on last quarter's call that the Document Management growth, without Recycling, was about 1%, mainly because of the issues in the European operating environment and our storage and imaging, which is such a project-based business, was down. In the first quarter, we saw that improve to over 2% and while we're still seeing a good performance in our shredding business, the project-based business in storage and imaging is still not strong and the European business is still in an environment where it's very difficult to grow. And the euro, the weaker euro, really had a negative impact on the quarter, too.
Thomas Allen - Morgan Stanley, Research Division: And then just a numbers question here, D&A dropped pretty significantly this quarter. What drove that and is this the right run rate going forward?
J. Michael Hansen: We had a decrease in our amortization due to some intangibles related to prior acquisitions. So that rolled off and so I think that the run rate is a good one from going forward, anyway.
Operator: We'll go next to John Healy with Northcoast Research.
John M. Healy - Northcoast Research: Bill, I was hoping you could just run past on some of -- over again, some of the comments you made on the SG&A line, the sources of it being down. I understand the amortization point, but I don't know if I caught it all but I thought you mentioned something on worker's comp and I just want to make sure I understood it.
William C. Gale: We had a little bit better experience in workers' comp in the quarter than what we some in the first quarter last year. That will fluctuate, John, depending on what happens, what cases get resolved, et cetera. So there was some minor improvement in our medical expense but generally speaking, as Mike alluded to, a more significant impact would have been the drop off of the amortization of the deferred charges.
John M. Healy - Northcoast Research: And Bill, I was hoping you could maybe take a step back and maybe talk philosophically in terms of how you're thinking about the business today. When I think about your company over the last 5 to 7 years, it's always been about building a sales organization and building a sales structure that would take you into new business lines and really propel the growth of the company. And that for a while caused the SG&A line, at times, to grow faster than the revenues and for a number of quarters, we've seen revenues grow faster than SG&A and SG&A come down. What is the new normal for you guys in terms of the investments you need to make into the salesforce and how should we think about sales growing relative to revenue because you keep outperforming, I think, everybody on the SG&A line? And I'm trying to understand how we should be thinking about how you should be performing there.
William C. Gale: Well I think philosophically, we always believed that we need to get leverage in our G&A portion of the company. And given the fact that we are now growing that top line again over the last couple of years versus what we did during the recession, we're able to do that. We also have seen some better performance on the part of our -- in our workman's comp and our medical expenses, which have helped. The union bite is, for the most part, over. So that has certainly helped some of the legal expenses that we were incurring. So I think that we're back to where we want to be with a growing top line and leveraging that G&A. On the sales side, we believe that we have staffed appropriately for all of our businesses in order to grow those businesses and I think our new business results have been very good over the last couple of years, reflecting this high productivity level we're getting from the salesforce. We continue to increase appropriately in the correct markets the number of salespeople we have, but I don't think we're going to need to do a significant step up in that in order to get our growth. We feel that where we're at is appropriate and it will be modest growth going forward. What we would like to see again, as Mike mentioned, is some existing customer growth when they add back employees. And if we can get that, then we'll return to double-digit company growth that we've been talking about for years.
Operator: We'll go next to Andrew Wittmann with Robert W. Baird and Company.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: I wanted to just dig into the guidance a little bit. I guess my calculations suggested for the back half, for the last 3 quarters of this fiscal year that revenue growth was in the 3.7% to about 6.9% range. When we look at this quarter, even adding back the paper price headwind that you faced, you're looking at about a 4% growth for the quarter. So looks like the top end would imply some acceleration. I just want to maybe, Bill, to get a little perspective from you. What are some of the variables that could suggest what -- in what you're seeing today, what are some of the variables that could help you get to that high end of the guidance range?
William C. Gale: Well, a couple of things. First off, it will be -- we're pretty certain on the direct sale business, as Mike mentioned, that you're going to see an acceleration in that because we've got some large rollouts and that's in the plan and embedded in the guidance. But to get to the top end of the guidance, what I would say you would see is a better economy. Therefore, an improvement in the confidence level on the part of business owners to either add employees or to make discretionary spends. As we've talked, our catalog business was relatively flat. We think a lot of that is just caution on the part of the business owner. We could see getting to the top end of that range caused by the better-than-expected increase in paper prices than what we've embedded in there. And I would just say, employers just willing to add an employee here or there is going to have a positive impact on that. With all that said, I want to reiterate a point that Mike made and I try to make is, as you guys lay out your guidance, keep in mind this third quarter has these fewer number of workdays, and also I think the most difficult period we may have is right around the end of the calendar year. So our guidance anticipates that the fourth quarter should be pretty decent, third quarter is not going to be quite as good just because of all these other factors that are going on. But I'd say we have pretty good confidence in the guidance that we gave you and hopefully, we'll be able to achieve that top end of the things that I've mentioned earlier, happen.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: I wanted to dig also a little bit into the Rentals segment's gross margin. Maybe I missed a number, some of them I got. It sounds like for the segment, energy was a 50 basis point benefit. Mike, what was the garment, both through cotton and new injections, headwind that you experienced there? I'm just trying to understand kind of the delta on year-over-year basis to understand what some of the pieces were.
J. Michael Hansen: Well, you're correct about the 50 basis points of energy. Material cost was a headwind, like it had been in the previous couple of quarters. We haven't gotten in publicly to the details of the increase in material costs but that wasn't the entire piece. There were other things here and there, none of which were significant. But generally speaking, we saw -- I think if you look at the rental gross margin in our first quarter, it was pretty consistent with the previous 3 quarters. And I'll tell you, last year's first quarter was a pretty good quarter. That 43.9% was a quarter we hadn't seen in the last 3 or in the previous couple. And part of that was due to we started to see an acceleration in our Rental business. We were getting a lot of leverage and the growth is causing us to now add some routes and to add some resources. And so, our first quarter was consistent with the previous 3. We just had a really nice quarter in the first quarter of '11.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: You didn't talk really about price in that response. I'm just trying to understand. It sounded like your commentary already said it's kind of heated up and gotten a little bit more competitive. Is price at least, from the delta that we saw?
J. Michael Hansen: I'm not sure that I would say it was much of a delta, Andy.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: And then just final question, if I might, on the Document business. If you're in the 1% or 2% range from last couple of quarters, last year it was kind of mid-single digits. Just wondering kind of what was the change primarily? Is it a volume thing, is it a pricing thing there, competition, retention rates? Just some sort of color to understand a little bit what's happening in the last couple of quarters versus maybe last year.
William C. Gale: Well, I think it's project-oriented business that really impacts the imaging business. And as we've mentioned last in the fourth quarter recall, one of our strategies is to get more recurring business there but we had a lot of kind of what I'd call onetime project, especially in the financial institutions. So that added impact on it. We're just not seeing much growth at all in storage and therefore, that's one of the reasons we've always said that our preference is more on the treading side. The European businesses, we beat that quite a bit with the euro and with just the lack of growth over there. While it's only 1% of our overall company's revenue, it's a little bit bigger piece of the Document Management segment. And then I would say that in the shredding side, the focus has been selling good business. There has -- there were some aggressive companies out there in the business that we don't think are necessarily long-term committed to the business that were getting pretty aggressive in the fourth quarter last year and even into a little bit of the first quarter this year. But that seems to be stabilizing a bit because they're seeing the result of the lower paper prices and it's impacting their profit margins. We've got some nice customer rollouts in place, are going to be in place here in the next couple of quarters that are really good wins for us. So we expect this growth rate, especially on the shredding side, to really start picking up. And then the comparables, of course in paper are going to become much easier as we go through the year.
Operator: We'll go next to James Samford with Citigroup.
James Samford - Citigroup Inc, Research Division: Just wanted to dig in a little bit into the sort of no programmer trends that you've added over the last couple of years. I was wondering, how are they trending relative to some of the programmers that you had prior to or during the recession that have not been adding people? Have you basically been adding more healthy businesses relative to what you had before so the mix is changing a little bit to the better?
William C. Gale: Well, I would tell you that even when we add a no programmer, you typically don't see a lot of increase in their headcount. So we get a no programmer but just as we're seeing across the general economy, they're staying with their workforce and not adding a lot to their workforce, that's a general statement. There's been a little pickup, as I mentioned, in the Energy segment in the U.S. So we picked up some more of that business. But even -- the new no programmer customers we get are not really growing their companies any more than the programmers are.
J. Michael Hansen: The one thing that I would add is in those no programmer accounts, when we're talking about energy-related, it's generally fire-resistant clothing and we've sold our Carhartt business and that generally equates to a higher-priced item than our normal workwear. And so that has certainly helped in the last couple of years.
James Samford - Citigroup Inc, Research Division: I guess on the direct sales side, is it fair to assume that we should pretty much expect sort of negative growth through most of the year up until probably Q4, to give a tough comp in Q3? So is negative sort of the right way to think about it?
William C. Gale: No, no. I think it's going to turn positive before the year's out.
James Samford - Citigroup Inc, Research Division: And I guess one quick question on M&A activity. Still pretty solid balance sheet and last quarter you talked about them. So not seeing too many interesting opportunities, just wondering if you could comment on how things are today.
William C. Gale: I guess I'm a little disappointed we didn't have more activity in the first quarter. You see it was just practically insignificant. I'm encouraged a bit that there seems to be a little bit more activity now. So I would expect there to be more acquisition activity over the course of the next couple of quarters. But with that said, it's certainly not at levels that we could actually do given our balance sheet and our access to capital. There still doesn't seem to be the kind of deals out there that would make sense of any size.
Operator: We'll go next to Andrew Steinerman with JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: I heard mention of adding some routes and I assume that's because a lot of our growth has come from new customers and new businesses and necessitated subdivided routes. The question is how long do you think those types of inefficiencies are going to remain and how much of an effect does that have on Rental gross margin?
William C. Gale: Well, that's a difficult question to answer because as you know, Andrew, it's all local business. So one operation may have -- be able to put a lot more business and move it to a route without much margin impact than another operation. But generally, let me say this. We have decided that it is necessary to have more route capacity in order to properly take care of our customers and to give our service providers incentive to continue to maintain their business, work with their customers, treat them in a way that Cintas wants to treat their customers. And so we think that while there might be a short-term margin impact in some operations, it will quickly be overcome by better lost business results and better improvement of growth with existing customers with other products and services.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: And with that in mind, do you have a sense of how much spare capacity you have in the routes?
William C. Gale: Boy, there's no way I can -- we've got so many thousands of routes, I do not know. I would say that up until the last couple of quarters, there was very little capacity because we were trying to do everything we could to maximize our routes and trying to get our return to better margins. It's only because we've been able to do that and now we're seeing the top line growth. I would say we freed up a little bit of capacity. And then you're going to see some -- the CapEx, as Mike said, is $190 million to $210 million. A lot of that is trucks to basically create that capacity. So I'd say we're getting to more normalized levels that we would want to have in order to properly take care of customers and allow for more growth on existing routes.
Operator: And our next question comes from Scott Schneeberger with Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Just a couple of clarification questions. In responding to, I think it was Shlomo's question on the aggressiveness in pricing, when you said that, that had picked up, Bill, were you responding to just in the Rental or in the uniform Rental category or was that more broad? I guess could you take us around the horn a little bit with regard to pricing, please?
William C. Gale: I think it's primarily in the Uniform and Facility Services business and a little bit in the Direct Sale business. I would say we've actually seen a slight improvement in pricing environment in the Document Management business and we've never really had too much of an issue with First Aid and Safety and Fire, that has been fairly steady.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And on this concern over the third quarter, the fiscal cliff, the fewer days. I guess, could you remind us what type of impact, rule of thumb on the numbers 2 less days would have year-over-year to help us with the models? I see that the consensus has you going down in revenue 2Q to 3Q, but EPS up. Just wanted to discuss that dynamic to the extent you can a little bit more.
William C. Gale: I can't come up with it off the top of my head. But basically, just take that kind of a revenue run and divide it over the fewer days and it's a little less around 1% or so and then that certainly has an impact on the margins.
J. Michael Hansen: I think if you go back, Scott, last year, we saw some nice improvements in the second and the third quarter because we were really getting some good leverage. I think if you go back a couple of years, though, and look from first to second to third, you would see some overall margin drop. And I think that those years, '10, '11, are probably some good indications of the drop. Generally speaking, when you have 2 less workdays in the first quarter but you've got that depreciation and amortization that are the same per month, because those are kind of a monthly number, you've got material costs that's generally on a monthly basis. And so it certainly is an impact. In the third quarter, you've also got a resetting of payroll taxes.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And then lastly, if I could just ask because you brought it up a couple of times and it was discussed last quarter. Energy and in the Carhartt products, in Fire Resistance, it sounds like that's really moving. Can you give us a feel for what type of contribution that's been, maybe as mix or contribution points to the growth? Just wanted to get a feel for magnitude to the extent you can share.
William C. Gale: We're not going to give you the components of it. The FRC business is a piece of our Rental business and it is certainly been growing a little faster than the other Rental business, but the standard Rental product line and facility services line also have been growing. So I'm just not going to get into the habit of producing all the different pieces for competitive reasons.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: But the trend is still favorable? You see that momentum?
William C. Gale: Yes, the trend is still favorable.
Operator: [Operator Instructions] We'll go next to Joe Box with KeyBanc.
Joe Box - KeyBanc Capital Markets Inc., Research Division: I just want to flush out a comment from earlier. I think, Mike, you mentioned that there are several new brochure rollouts that you're planning for the second half in your direct uniform business. One, can you just put some color around what those might be? And two, I think you mentioned that you're looking for some positive growth in that business later in the year. Are we looking for kind of a normal low to mid single-digit growth rate or could it potentially be more?
J. Michael Hansen: I'd rather not get into the customer-specific information, but we have a couple of multimillion dollar rollouts in that business. Generally, in the Uniform Direct Sale business, we expect, although bumpy, we expect generally, a mid-single-digit growth rate and I would expect it will be in that neighborhood for the year.
Joe Box - KeyBanc Capital Markets Inc., Research Division: For the full year?
J. Michael Hansen: For the full year.
Joe Box - KeyBanc Capital Markets Inc., Research Division: And then switching gears over to merchandise amortization and just uniform rental margins, I think last quarter, you guys were thinking that the cotton headwind could persist through the first half. Obviously, it was a factor this quarter. But potentially, that could switch to a tailwind in the second half. I guess with patents still trending below the 5-year average and maybe as you move to more of a normalization in new account sign-ups, could we be looking at maybe more of a benefit in the second half of this year than what you were previously thinking?
J. Michael Hansen: I don't think so, Joe. And you're correct, we said that the cotton headwind would go through mid-fiscal '13. But as it rolls off and some lower cotton prices roll on, from quarter-to-quarter, it's a pretty small impact. And the fact that we continue to add new business at pretty good clips means we'll continue to inject inventory. And so I wouldn't expect that the change in the cotton would offset or really reduce the material cost from the continuing new business efforts.
Operator: And we'll go next to Gary Bisbee with Barclays Capital.
Gary E. Bisbee - Barclays Capital, Research Division: I just wanted to follow-up on 2 things. The comment around or the commentary you gave around expanding the routes. Is there any way to think about where the footprint is in all the offerings? I mean, I know you offer uniform rentals everywhere but where are you in shredding? Where are you in the various First Aid, Fire Safety? And maybe the one I feel like I have less understanding of, where are you on the various Facility Services business in terms of North American geographic coverage?
William C. Gale: Well, the Facility Service business pretty much coincides with the Rental business in North America. So when we have an operation, a Rental plant in a city, we typically are providing a similar level of all the facility services. So I would say that, that coverage kind of coincides with each other. The Document Management business, the shredding side, I think the latest count we're in probably around 80% of the top 150 MSAs. So there's still some room to grow there. Storage is much less than that. I mean, it's only in a select few markets. And then as far as the First Aid and Fire business, I would say the First Aid business is in the majority of the MSAs, in the top 100 MSAs in the country. The fire is at about 60%, maybe of the top 100 MSAs. So that's why our continued acquisition focus will be with filling out the footprint in fire and document shredding.
Gary E. Bisbee - Barclays Capital, Research Division: And then I guess that was the next question. Just what type of assets are you looking for on an M&A front? I mean, is there anything of scale at all out there? Or is part of the problem just that there aren't? I know for years in uniform, you've talked about a number of midsized assets that were family-run and you would be an obvious acquirer if the next generation wanted to sell. Do you see the market like that or is it just that this is such a mom-and-pop market? There's not much that can move the needle?
William C. Gale: Oh, no. Well, it depends. Let's talk about the businesses again. So in the Uniform side, there are still a lot of nice sized companies out there. In addition to the public companies, there are some very good regional players that would be wonderful acquisitions if the price were right. There's still a lot of good tuck-in acquisitions, smart to small markets -- not small market but 1 or 2 market operations that would be very nice additions to Cintas and we continue to pursue those, that just hasn't been a meeting of the price expectations. In document shredding, there certainly are some big players there and I think most of you know who those are. Iron Mountain, Shred-It, Recall, all have very good sized shredding operations. There still are hundreds and hundreds of small and some moderate, regional-type players there that we continue to have some discussions with. So I think there'll be some opportunities presenting themselves there. In the Fire business, boy, once you get beyond, you got your -- the big guy out there with Tyco's, SimplexGrinnell business, I think they're getting ready to spinoff, but there really are not a lot of big sized players. They're mostly small companies, a couple of little regional guys, but that is more of a -- there's going to be a lot of little acquisitions that we'll probably be making in that space.
Operator: And we have no more questions in queue.
William C. Gale: Thank you all for joining us. We appreciate all the interest in Cintas. The next release will be the latter part of December, right before the holidays and we would expect to have the earnings call at that time. So we'll look forward to speaking to you then.
Operator: This concludes today's call. Have a wonderful day.